Operator: Good day everyone, and welcome to the Verisk Second Quarter 2018 Earnings Results Conference Call. This call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Verisk's CFO, Mr. Lee Shavel. Mr. Shavel, please go ahead.
Lee Shavel: Thank you, Kyle. And good day to everyone. We appreciate you joining us today for a discussion of our second quarter 2018 financial results. With me on the call this morning are Scott Stephenson, Chairman, President and Chief Executive Officer; and Mark Anquillare, Chief Operating Officer. Following comments by Scott, Mark and myself highlighting some key points about our financial performance, we will open up the call for your questions. Before we do that, I’d like to take the opportunity to introduce our new Head of Investor Relations, Stacey Brodbar. I am personally delighted as you all can imagine to have Stacey join us. Although as I reflected on it last night, you all maybe even more excited than I am to have Stacey with us. She comes to us with 20-years of broad experience from the buy-side, sell-side and investment banking. Most recently she spent 11 years at AllianceBernstein, where she served as a Senior Vice President and Senior Equity Analyst covering the consumer discretionary sector. Prior to that, she spent 7 years as a sell-side equity analyst at Credit Suisse analyzing the restaurant selector. She holds an MBA from Columbia Business School; and a Bachelor of Arts in History from Duke University. I know that she is looking forward to engaging with all of you in this new role and we will appreciate the same patience that you’ve shown to me as Stacey comes up the learning curve with the businesses at Verisk. Fortunately she comes into the job with the benefit and knowledge of having been an investor in the company previously. The earnings release referenced on this call as well as the associated 10-Q can be found in the Investors section of our website, verisk.com. The earnings release has also been attached to an 8-K that we have furnished to the SEC. And we have also posted our Investor Presentation for the second quarter on our website at verisk.com. A replay of this call will be available for 30 days on our website and by dial-in. Finally, as set forth in more detail in today's earnings release, I will remind everyone that today's call may include forward-looking statements about Verisk's future performance. Actual performance could differ materially from what is suggested by our comments today. Information about the factors that could affect future performance is contained in our recent SEC filings. Now, I will turn the call over to Scott Stephenson.
Scott Stephenson: Thanks Lee. Good morning, everybody. I'm pleased overall with the second quarter results we are reporting today and with the progress occurring across our business. I recently had two weeks in Europe with some of our largest customers and our leadership teams and come away encouraged about our situation and forward opportunities. Let me summarize some of what I saw and heard. On the insurance front, we are a different company in the London and U.K. markets than we were just one year ago. Across many meetings it became clear that our customers see and understand the logic of the new solutions we have brought to market through a combination of organic developments and acquisition. On several occasions I heard customers comment on the unique position we've achieved in the U.K. along with their anticipation of newly integrated offerings from Verisk. I hear customers referring to Verisk as a partner more frequently than in the past. They are asking for deeper dives into our solution sets and pipeline of new developments. Virtually every conversation with customers was forward-looking in nature which is a good sign for our future. I also met with the senior leadership of some of Europe's largest energy businesses. I heard continuing affirmation of the must-have quality of the data and analytics we provide. Equally encouraging were discussions around the need to transform commercial decision-making in the oil and gas industry through the application of modern data analytic methods. This point is deeply felt by the energy companies who are awash in technical data but have yet to realize the promise of optimized commercial decision-making. A goal of our energy business customers is planning cycles measured in weeks rather than years which can only be achieved with the level of cost and productivity benchmarking which is previously been unseen. Our customers in Europe and indeed everywhere see us as a natural partner in helping them achieve this transformation. I spent an enjoyable afternoon in the offices of one of Argus's leading U.K. customers. It was great to spend time not only with our customers, but also our several person team who set in the customer's offices representing a wonderful level of intimacy After reviewing the considerable value attached to our current solutions, the conversation with our executive sponsor then moved to future opportunities to harness machine learning to amplify their analytics. Again, the conversation was primarily about the future and how our two companies can partner. A consistent message across customer meetings is that some of the most important work being done by our customers is harnessing data analytics to improve their business results and I see Verisk as a unique partner in doing so. With that, let me hand it over to Mark for some comments on the insurance vertical.
Mark Anquillare: Thank you, Scott. In our insurance business we had another strong quarter in all insurance facing businesses. Underwriting and rating, as well as claims contributing to growth. Let me highlight a few areas that drove topline growth and update you on several initiatives that better position us for the future. To remind everyone of our new reporting segments, underwriting and rating consists of one, our ISO business unit which provides industry-standard insurance programs, property specific underwriting and rating information, and our personal lines underwriting solutions. Two, our AIR business unit which provides extreme event models; and three Sequel, our business unit which provide insurance software solutions. During the quarter underwriting and rating delivered strong organic growth across personal lines underwriting, extreme event modeling, and industry standard insurance programs through a combination of cross-sell of existing solutions to new customers and the sale of new innovative solutions. Our legacy ISO business continues to maintain high customer retention rates while increasing its prominence as a thought leader in the property-casualty industry. We have a series of new programs in product extension's fueling growth including cyber warning, our new program to address the growing cyber threat which represents a significant avenue of growth for insurers. Two, [indiscernible] insurance where we launched both personal and commercial lines coverage to satisfy the underinsured and uninsured problem in the U.S. as evidenced during Hurricane, Harvey with two-thirds of flood losses occurred outside of FEMA's 100 year flood claims. These ISO programs put all areas in the contiguous United States regardless of the FEMA flood zone. Three, LightSpeed our suite of underwriting data and analytics focused on personalized risks primarily personal auto and homeowners' risk. And for risk analyzer, our deeply analytic in highly segmented suite of tools providing fine pricing detail on specific risks. We continue to extend our risk analyzer suite and recently introduced a physical damage module for commercial auto. In June we held our Verisk London Risk Symposium, an event highlighting our InsurTech capabilities across underwriting and rating and claims with a focus on key insurance and global risk issues. The number of follow-up opportunities was impressive as U.K. insurers and Lloyd syndicates are beginning be to fully understand the scope and power of Verisk offerings. After a week together in London, our leadership team was energized by the meetings with customers developing strategy across our European businesses and prioritizing opportunities brought by these collaborative efforts. Our claims businesses include one, claims analytics our fraud prevention solutions featuring ClaimSearch. Xactware, our suite of solutions focused on loss quantification and repair cost estimating; and three, Geomni, our cutting-edge remote imagery business. Claims experienced an exceptional quarter, with organic growth across all business units through a combination of cross-sell and sale of new solutions. During the quarter, we acquired Validus, a leading provider of claims management solutions and developer of the leading subrogation portal in the U.K. Subrogation occurs when an insurer pays an insured roll-off caused by a third-party. Insurance companies then subrogate or steps into the shoes of the insurer to interact with the third party to recoup the loss suffered by the insured. With the addition of a well-established subrogation platform to its existing claim solutions set Verisk is uniquely positioned to support U.K. insurance market at every stage in the life of the claim. As I highlighted during our prior earnings call, we are focused on helping our customers automate the claims process to drive towards right touch claims handling. We are less complex and smaller dollar claims are handled with limited manual intervention. The subrogation process and coordination of benefits for bodily injury claims are areas where we can vastly improve the claims process, and create efficiencies for our customers. Geomni, our business that harnesses remote sensing and machine learning technologies to provide information about residential and commercial structures, has advanced its massive library of high-resolution imagery and data for substantially all properties in the United States. The aerial imagery and property data including measurements of dimensions for commercial and residential property are seamlessly integrated through Verisk platforms for claims, underwriting and catastrophe modeling. The image library, advanced analytics and tight integration with our repair cost estimating tools have resulted in exceptional efficiencies for insurers and strong growth added Geomni, as well as Xactware. Across all businesses from both a customer and financial perspective, we are very pleased with the performance of the insurance businesses. With that, let me turn it over to Lee to cover our financial results.
Lee Shavel: Thanks Mark. First, I’d like to bring everyone's attention to the fact that we have posted a quarterly earnings presentation that is available on our website. The presentation provides background data and trends and analysis to support our conversation today. Moving to the financial results for the quarter, on a consolidated and GAAP basis revenue grew 14.9% to $601 million, net income increased 26.9% to $154 million for the quarter, diluted GAAP EPS was $0.91 for the second quarter 2018, an increase of 26.4% compared with the same period in 2017. Having presented our summary GAAP results, I will now shift to focus on our organic constant currency results for all year-over-year growth rates consistent with our financial targets and to eliminate the impact of currency fluctuations and recent acquisitions for which we don't have a full year-over-year comparison. Acquired revenue and adjusted EBITDA on the quarter from all deals that haven't moved into organic results were $36 million and $9 million respectively. Please note that nonrecurring acquisition related transaction expenses are included in these EBITDA amounts. Verisk demonstrated very solid growth performance and momentum in the second quarter. Revenue growth of 7.4% was ahead of our 7% long-term target and it was our fourth consecutive quarter at or above that target. Adjusted EBITDA expense grew 5.9% enabling EBITDA growth up 8.9% and demonstrating the benefit of our operating leverage. The EBITDA growth differential to revenue growth of 1.5% is also ahead of our long-term target of a minimum 1% differential. These results also produced an improved adjusted EBITDA margin of 49.6% up from 48.9% in the prior year reflecting the benefits of our skill and inclusive of continued investment across the business. Let's now turn to our segment results on an organic constant currency basis. As you will see in table 2 in the press release, insurance had a strong quarter with 8.4% revenue growth with underwriting and rating contributing 6.2% and claims contributing 13.2% growth. Adjusted EBITDA for insurance grew 10.5% reflecting in increased adjusted EBITDA margin of 56.6% up from 55.5% in the prior year. Within our underwriting and rating business, we saw solid performance across our product lines. We also continued to invest in our breakout opportunities including telematics, LightSpeed data hosting, energy and global property with exceptional growth despite the relatively small-scale at this point. Within claims the continued strong growth was a function of strong product growth in most of our claims businesses, offset by a slight decline in our employment screening business. In addition, Geomni continues to generate strong growth as they expand and improve data quality for clients. Energy and specialized markets delivered improved revenue growth of 5.0% for the quarter up from 3.1% in the prior quarter as the energy industry continues to recover as many of you may have noticed with the recent reported results from the energy companies. Adjusted EBITDA increased 0.9%, also an improvement from a 5.9% decline in the prior quarter. Adjusted EBITDA margin of 30.1% was down slightly from the prior year period 31.3% due to ongoing investments in the WoodMac 2.0 initiative and our chemicals subsurface, power and renewables and analytics breakout initiatives that increased headcount and associated compensation expense. These areas represent opportunities to leverage Wood Mackenzie's data and industry expertise more broadly and to deliver and develop products more swiftly and efficiently. Overall growth was supported by research growth at Wood Mackenzie and strong growth in consulting with our 3E revenues. This improvement was achieved despite the ongoing 2018 revenue headwind from a global investment banking client that has substantially reduced their presence in the industry. The energy and specialized markets segment continues to enjoy core operating leverage and growth opportunities as demand for data analytics in its constituent markets continues to expand and has been demonstrated in the growth of our breakout revenues in the early new contract wins at PowerAdvocate. Financial services also delivered improved revenue growth of 4.4% in the quarter up from 1.5% in the prior quarter. Adjusted EBITDA increased by 4.5% down from 5.1% in the prior quarter and the adjusted EBITDA margin was 31.1% unchanged from the prior year. These results are below our long-term expectations of the business but we believe the growth potential of the segment remains strong. The organic revenue growth was supported by growth in portfolio management solutions which include our foundational benchmarking analytics and strong growth in enterprise data management solutions where we are leveraging our data management skills and expertise to support our clients. Looking ahead to next quarter's financial services revenue results, we want to take the opportunity to remind everyone that consistent with our typical partnership revenue model, we expect to have a high level of nonrecurring license and implementation revenue in the early stage of our partnerships followed by the development of recurring subscription revenues over time. In this regard, the third quarter of 2018 will represent the one-year anniversary of the formation of our thesis partnership which generated significant initial revenues in the third quarter of 2017 of 6 million with lesser amounts in the subsequent two quarters. Consequently, our growth rates next quarter will reflect the burden of those nonrecurring revenues in the prior year. As we've discussed previously, the launch of our products through the partnerships had been delayed due to data integration challenges but we expect to commence marketing with clients this quarter with the development of the ongoing subscription revenue opportunity to follow. Consolidated depreciation and amortization was $74 million in the quarter up 32.1% from the prior year quarter reflecting the impact of acquisitions and increased capital expenditures in both periods. Reported interest income was $32 million in the quarter up 12.1% from the prior year quarter due to the funding of acquisitions in 2017. Total reported debt was $2.8 billion at June 30, 2018 down from $3.0 billion at December 31, 2017. Our leverage at the end of the second quarter was 2.4 times on the basis of our credit facility calculation. Our consolidated cash and cash equivalents were about $135.8 million at June 30, 2018. Our reported effective tax rate was 17% for the quarter compared to 28.8% in the prior year quarter as a result of recent tax reform. Our effective tax rate was lower than our targeted range due to significant exercises of outstanding employee stock options that produced a favorable tax rate impact. We are maintaining our estimate of our effective tax rate in 2018 to be between 16% and 18%. However the timing and impact of employee stock option exercises depends in part on the Verisk stock price and personal decisions. We expect that this impact will be more pronounced in 2018 and that we will revert to a higher effective tax rate in 2019. Adjusted net income was $179 million up 29.1% from $139 million in the prior-year quarter. Diluted adjusted EPS was $1.06 for the second quarter also up 29.3% from $0.82 in the prior year quarter. The increase reflects organic growth in the business, contributions from acquisitions and the impact of 2017 tax reform. Equalizing the second-quarter of 2017 effective tax rate to that of second-quarter of 2018 both adjusted net income and diluted adjusted EPS were up 11.6%. Net cash provided by operating activities was $207 million for the quarter up 85% from the prior year, capital expenditures were $56 million for the quarter up 36% from the prior year reflecting primarily increased investment in Geomni and software development for recent acquisitions. As we've discussed previously, 2018 will be the peak year of capital expenditure for Geomni. Free cash flow was $151 million for the quarter, an increase of 114.3% from the prior year. We returned $141 million in capital to shareholders through the repurchase of 1.3 million shares in the quarter at a weighted average price of $105.78. At June 30, 2018 we had $686 million remaining under our share repurchase authorization including a $500 million authorization approved in May 2018. In addition, we initiated a 50 million accelerated share repurchase to be executed in the third quarter to accelerate the impact of share repurchases and execute repurchases at a discount of WACC over the period. We have the ability to repurchase additional shares during the quarter so the 50 million ASR should not be viewed as our total repurchases for the quarter. The average diluted share count was 169 million shares in the quarter and on June 30, 2018 our diluted share count was 168 million shares. Overall the results for the quarter represented one organic constant currency revenue growth of 7.4% and EBITDA growth of 8.9%, both ahead of our targets. Two, improved organic constant currency margins. Three, continued investment in attractive internal opportunities, and four substantial return of capital to shareholders. Insurance performance remains consistently strong in both underwriting and rating and claims. Our energy and financial services continue to make progress towards their growth objectives. Looking ahead to the third quarter, we want everyone to be mindful of the $8 million in storm-related revenue and $6 million in initial nonrecurring revenue from the thesis partnership in the third quarter of 2017 that will affect the third quarter 2018 year-over-year reported growth rates but don't represent a change in our underlying long-term growth expectations. We also don't know what the 2018 storm season will hold for us. We are excited about the opportunities to invest in our business and remain focused on long-term profitable growth and solid returns on capital. We remain confident that we have the financial strength and capital structure to support investment for the long-term. We continue to appreciate all the support and interest in Verisk given the large number of analysts we have covering us. We ask that you limit your questions to one and one follow-up. With that, I’ll ask the Operator Kyle to open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Hamzah Mazari. Your line is open.
Hamzah Mazari: You touched on what some of your European clients are saying on the insurance offering. Maybe if you could touch on, do you still think you can double the insurance business internationally in five years I think you had highlighted that. And maybe some of the challenges and sort of headwinds to that goal. Just maybe update us how much bigger can that international business be and why you feel confident?
Scott Stephenson: When we think about the international opportunity as it relates to the insurance vertical, first of all it's not just about the London and U.K. markets. We’re actually pushing out in a number of European and Asian markets. I was highlighting London and U.K. partly because that's where I just was with the customers, but also partly because that is the largest part of our non-North American footprint today. I don't really see a lot of headwinds, I can tell you what the work consists of. The work consists of taking the methods that we’ve developed in the United States tailoring - tuning them - not tailoring them, tuning them to the local markets. And then infusing them with a lot of good local data, we know how to do that that is in fact what we’re presenting in these overseas markets today. So it's organic, it feels very natural and what we need and what we have our great people on the ground in these markets that understand the local customers and local conditions and can just cause our solutions to be there most relevant and make clear the customers the value that they represent. But it's not - it’s mostly white space for us, I mean Verisk as you know it's about order of magnitude 25% non-U.S. today and it's a big world out there. So this is a long sustained march for us but I don't think of it in terms of headwinds. I think of it in terms of great people on the ground locally taking what we’re already good at and making it relevant.
Hamzah Mazari: And just a follow-up I'll turn it over maybe for Lee. Lee I know you spend a lot of time on capital allocation and in terms of your analyst days investor outreach maybe just frame for us how you're thinking about that going forward, have you guys thought about a dividend. Are they going to be more acquisitions, are you going to add a third leg to the portfolio just broadly speaking I know the history has been a little different where you had a healthcare business than we bought energy now you're sort of focusing in on the core. Maybe just give us some feedback after your outreach program and how you're thinking about broadly capital allocation going forward?
Lee Shavel: So the way - what I would emphasize is at this stage what we’re focusing on is starting with understanding capital generation where we’re generating it, how we’re generating it obviously optimizing that. And then looking at the returns on capital within each of the businesses and most importantly on an incremental basis how we’re investing the capital that we have effectively to improve those returns and to support the growth initiatives across the business. And that's where it's a combination of looking not just at acquisitions, but looking at our internal investment through CapEx, through investments in our breakout initiatives. And really just enhancing that as a discipline across the organization as a whole with the objective of trying to identify as many attractive opportunities to invest capital. And I really think at the core that's what's most exciting about Verisk. The opportunities that we have across the business and to put capital into growth businesses in the analytics and the data management sector. Once we are doing that effectively I think the next step is thinking about how we manage capital and at this stage we think about all of our opportunities to return capital. We as you saw in the second quarter, we’re very focused on repurchasing shares, and so you see a focus there that is determined on a quarterly basis based upon where we see opportunities, but longer term we are certainly going to evaluate all opportunities. But we’re really at the preliminary stage of just thinking about how are we generating capital and how are we deploying it within the business. The final thing that I will say I think that you have heard Scott and Mark in several cases talk about what we see on as the opportunities and the strength of our three verticals, insurance, energy and specialized markets and financial services. While we are always evaluating M&A opportunities that can create growth, we are very comfortable with the opportunities that exist within those three verticals. There is not an expectation at this point that there's any additional vertical that we’re pursuing.
Operator: Your next question comes from the line of Alex Kramm. Your line is open.
Alex Kramm: Just I think Lee you ended your prepared remarks on kind of like reminding us of the second half outlook and the strong storms. I guess stepping back a little bit I think you highlighted that that's for quarter’s growth with over 7%, but really if you back out the claims which has been really strong I think was more like 5ish or so. So more holistically I mean claims growth is great but I think there is a question about sustainability, how do you feel this can continue to grow in the kind of like teens and how could that weigh on your growth rate going forward. I'm not just thinking the next couple quarters but more, holistically longer term?
Mark Anquillare: This is Mark I’ll maybe try to address it. Clearly the claims area benefits from the severe storm activities occurred back in last year third or fourth quarter. I think what we’ve seen is as a result of some of that storm activity. We’ve had a little bit of a continuation of services to be continued and provided to some contractors. And we’ve also seen insurers the most part by more. So I don't attribute first quarter, second quarter results to storm activity. I see the underlying business is continuing to be strong. I see the investment that we’ve made over the last several years in new products and new services and the extension into - all the parts of the insurance value chain to be working. And I just wanted to highlight that I think we have a lot of good things going in claims and personally I wouldn’t back it out in the way you just did. So I hope that provides at least a little context and maybe a little comfort on kind of the underlying solvency and strength of the business.
Alex Kramm: And then Lee just, secondly maybe on the cost side and I know to talk a lot about the margin and obviously organic versus non-organic, but stepping back I think you've been there for - I think almost nine months or so. Are you spending a lot of time on the how the cost base of Verisk looks holistically, I mean and I guess I'm asking because at your prior shop - the company was very well known for being very good on margin, very tight, very cost conscious. Have you looked at how may be processes at Verisk on if they are improvements just generally speaking not just from integration of acquisitions?
Lee Shavel: Yes, thank you, Alex. And so first off I feel obligated to say that I think Verisk starts with a very good discipline around cost management and you wouldn't see, I think the margins of this strength without that discipline throughout the organization. And so that isn’t to say that there aren’t always opportunities to improve and as I learned from my prior shop, cost management is a beast that you have to fight every day. And in that regard, I have been spending time focusing on the cost structure one area in particular that has gotten a lot of focus and that we've been proceeding against has been against the broader migration mainframe to cloud migration which I think represents opportunities for us from a cost and from a capital standpoint. And so that's one dimension of it, but interesting you raised it on the call we actually have also been evaluating a shift in our procurement strategy in which heretofore has been a very process oriented procurement strategy. And we are going to be shifting with some changes in leadership to a focus on the cost structure elements. And where we can attack data costs other technology costs and find other efficiencies across the business in order to improve the overall cost structure. So it is something that has received focus there a number of initiatives that are underway, I'm focusing on that on that opportunity and we hope with a reorientation of our procurement and strategic sourcing function to make further headway against that.
Alex Kramm: Very good thank you, I’m sorry…
Scott Stephenson: It’s Scott here, I'll just add that - kind of sort of the deep deepdrum beat where the cost side of our business is concerned, really hinges on a couple things. One is, as Lee was saying the nature of the computing infrastructure inside of our company is going to change. And we think productively. It only cost you about $40,000 to source a rock headed by our storage capacity in the cloud today. Only $40,000, tell me this is remarkable. And so as we move from on prem to not on prem, I think we are going to naturally see productivity there. Another opportunity for us that it is at work now and I think we will make somewhat more use of it in the future will be to diversify where our talent comes from. There are talented people all around the globe and at the moment at least there are asymmetries in terms of what highly confident professional gets paid, we made less use of that than we might have. And then two other things real quick, one is just sort of the strong and consistent drive towards effective operations, which we summarize thinking about Lean Six Sigma kinds of methodologies, which is really a quiet revolution that's going on inside of our company. And the last thing is, the ability to change the very nature of knowledge work by harnessing machine learning. Today, most of that has been applied to making our solutions for our customers better, but the longer tails to the machine learning AI revolution is to actually change the way cognitive works gets done, and we have a lot of knowledge workers around here and I believe that we can really make them more productive by harnessing the machine more. So bunch of things that underlie - these are all productive and they are not just quarter-to-quarter this is year-to-year. Some of them are probably decade-to-decade kinds of developments.
Operator: Your next question comes from the line of Manav Patnaik. Your line is open.
Manav Patnaik: My first question is on Argus. So, the $6 million one-time benefit in last year's third quarter, I guess is new disclosure for us so maybe me at least. And so it implies that the third quarter probably is not going to have a good number and so what I'm trying to understand is seven quarters of - we are under performing what we used to see from Argus, maybe I don't quite understand what's really going on there, like, what the issues are and I guess, even the margins took ahead of this quarter. So I just hoping you could may be just flush out again like what's going wrong there.
Scott Stephenson: Well, first of all, I don't at all think that things are going wrong at Argus. It’s a great business, which is founded on proprietary content just like most of what we do at Verisk. So it's actually a great business and if you were to ask me which of our three verticals over the next five years is going to turn in the highest rate of growth, I think there is a very good case to be made that it could be Verisk financial services. I actually find it hard to handicap the three of them. I think they are all going to do well. So, it's a great business of which we and I are very proud and provides wonderful levels of value to our customers so all of that. Thinking about the last couple of years, as we have discussed in the past 2017, there were a couple of major relationships that cycled out. One part of that was the Federal Government consolidated its use of what it is that we provide and the other was a very large plan in the financial services were it had essentially been bulked buying some of what we do on behalf lot of the banks and they stepped out of their relationship and so underneath that we have been filling in with relationships with the banks individually, but that was a one-time effect over and done. In 2018, you have to look across the difference segments of the business and one of things that is at work right now is and we did call this out last quarter also is the on the median effectiveness side, I'm going to summarize a lot here in just a few words, but basically the regulatory burden on banks includes really, really requiring a tremendous amount of disclosure around methodologies, which allow the discrimination of risk on an individual customer basis. The size of the report you have to write to justify methods that you're using is really kind of astonishing. The banks want to do this differentiating and they find our method as valuable as it ever was, but consuming our methods in the form that we have traditionally provided them has just become backbreaking from a regulatory point of view. So, we're in the middle of rotating right now, the way we present that underlying intellectual property to our customers. And so it's a moment where that shift is occurring. And then lastly, as Lee pointed out again, in 2018, not only did he note the grow over point with respect to the implementation that we've talked about, the couple of quarter delay in terms of actually getting it productive. Normally -- well, I mean -- and this a truth of the business. When we establish a new relationship, there's a big surge of activity for data integration purposes, and then there's very nice annuity stream kicks in thereafter. The annuity stream is kicking in a couple quarters later than we expected because of the integration issues. So, that's what's going on inside the business. But our outlook on this business is over intermediate and longer periods of time, is completely unchanged.
Lee Shavel: And Manav, just to add, I think -- as Scott was describing, certainly it's an understandable question. And we understand the frustration from a growth standpoint. I do think it is important kind of starting at that level to step back and look at what the elements are that are driving it. It has been a chunky and a noisy business. We have been in the process of focusing on how from a revenue structuring standpoint we can make this more sustainable growth business. I think part of the story is that early on several years ago, there were a number of large opportunities that naturally we were compelled to pursue. And that's created some of the large component noise. Where we are now, is looking at each of these businesses across the portfolio management solutions, enterprise data management solutions, and the spend in marketing solutions, and focusing on how we deliver sustainable growth across those. And when you eliminate the one time elements, and in this case, we certainly don't feel, we want to apologize about the upfront revenues. But I think it's important to understand that those are licensing and implementation revenues with the value of the subscriptions accruing over time that that's the underlying dynamic that I think we see as both underlying growth and ongoing potential, given the extraordinary dataset and the relationships that we have with our clients, and the opportunity to use that data to just broaden their applications. I know all of that is looking ahead, but we believe that that opportunity remains undiminished despite the noise that we've experienced here over the past couple of years.
Manav Patnaik: My second question, Scott, maybe just to step back on the investments you're making in the WoodMac 2.0 platform. I recall, like, the year after you made the acquisition, at one of the investor days you talked about how there's already been investments made in a lot of new products, platforms rolled out. So, my question was more like, is this 2.0 initiative sort of driven by customer feedback or is this some sort of new gen you feel like it will help down in the future. Just wanted to get some more perspective there?
Scott Stephenson: Yes, it's both. And let me give you one other contextual point also, which is, the -- of the three verticals we serve. And I'm talking about customers now, I'm not talking about us. Of the three verticals we serve, the energy vertical is the one that is least transformed yet by large scale data analytics for commercial decision making. The companies are awash in technical data. So it's not that they don't know big data, but they haven't harnessed it the way that insurance companies and banks have, to drive their commercial decision making. And we knew that at the time that we -- in fact that's one of the reasons why we were so excited to get into business with WoodMac. And then of course the double tsunami hit in terms of the commodity price and to brag that with hard on a U.K. based Pound denominated sort of a company. So in the middle of these storms, we basically turn the sales and pull the boat into port. Now, the sky is clear, we're back out on the seas for sale. So, I just want -- if folks haven't followed our story over longer periods of time, I just wanted to make that point. Because there's a degree to which WoodMac 2.0 was what we intended from the beginning. And it's -- we just know that it's productive to have a very nicely digitally based platform for all of your data, because you can build the next generation and then the next generation after that of products if your platform done that way. And I think that the WoodMac that came in the Verisk in 2015, reflected their customers basically. In other words, sort of the volume and the speed of the data sets on the commercial side, were just not, it just was not the way that environment had been behaving. It's not that WoodMac was behind. I think they were reflective of the environment they were in. But then the other part of it is, yes, it is responsive to customers because their worlds have changed. Essentially what's going on in the oil and gas energy space is that, you used to have these years under unto decades planning cycles, where you would have these bespoke offshore multi $100s of millions of developments and essentially every project kind of was on to its own. And so you planned in that context. What's happened is that half of all the incremental supply has been added in North America. And in North America, the business behaves very differently. You can be drilling a well in location "X" and you could say, I want to move that, 1500 yards over there, and three days later you can have a 1500 foot well. And so planning cycles have reduced to weeks, and days, and that's actually exciting. The other thing that has happened is, it's not so bespoke, there are lot of people in the Permian, there are lot of people in the back and your position is next-door to somebody else's position. And so the intensity of desire to sort of benchmark and use that to tune up operations and planning is much greater than it was. So, in other words, to be effective you have to be bigger data, faster. And that's the conversion that's going on right now. So you can also pick up with WoodMac 2.0 as being not only the tuning up of our own environment, but it's actually creating this capability to serve the customers on these faster cycles with a greater amount of benchmarking against like activities. I mean that's fundamentally what's going on, and that is customer driven.
Operator: Your next question comes from the line of Tim McHugh. Your line is open.
Tim McHugh: Could I just follow up on the insurance growth rate, was there any contribution done in this quarter that you would attribute to the storm activity? And can you help us understand at all the contribution from aerial imagery at this point to the gross rate? Thanks.
Scott Stephenson: Question one was really around severe storm and impact in this quarter. There was no explicit benefit. I mean, I think what we've seen is contractors who purchased the solutions back during the storm seasons, some have extended that license, that has been good. It seems like that will continue. But there is nothing with around storms. Let me now jump over to Geomni. Similarly, storm activity helped us during third quarter with the storms last year. I think what you're seeing now inside Geomni, is a very strong bit of growth driven by really customer adoption, where we're taking share. We had a very tightly integrated solution that for the most part brings in the imagery, turns it to data, and with that data we're populating the repair cost estimates. At the very heart of what we're trying to do is, we're trying to increase dramatically the productivity of those claims adjustors at our customers. And by doing it in an automated way, whether that's from afar or having most of the information prepared into bands of visiting location, it creates tremendous opportunity and efficiency in that process. We are more accurate, and I think we have really started to change the way those insurance companies are kind of automating their processes. And the Geomni organically is helping the overall growth rate of insurance, that is very true.
Tim McHugh: Can you help us effect that the growth of the research business versus the consulting side of Wood Mackenzie? And my impression with consulting was leading the growth rate versus the research side?
Scott Stephenson: Yes, Tim, that's absolutely true. The consulting side is the portion that responds the most immediately to the increasing investment levels on the energy side. And so I would describe the growth areas as strong growth. On the subscription side, that growth, there has been growth there. I would say it's more modest growth but clearly the consulting side, which represents about 20% of the revenues has been benefiting earlier from that upside. But we are seeing a steady improvement in our overall research subscription levels as the cycle continues to improve for the energy sector.
Operator: Your next comes from the line of Arash Soleimani. Your line is open.
Arash Soleimani: Quick question on Geomni, the $200 million total adjustable market there within insurance, is that on the claims side only or does that include both claims and underwriting?
A – Lee Shavel: So, as it relates to insurance, we have -- we've talked about both the claims business and the underwriting business. We were very specific in these cases when we provided that estimate. That is in the context of, what we refer to as, property characteristics on the underwriting side, helping to better understand the physical attributes of the buildings and the residential homes, and on the claims side as we described. So, it is a combination of the two with a kind of known use case for insurance.
Arash Soleimani: Thanks, and aside from Geomni, can you talk about increasing automation within the insurance industry and to what extent that presents an opportunity for Verisk?
A – Scott Stephenson: Sure, let me do that. I think we are…
A – Lee Shavel: That's going to take about an hour and half.
A – Scott Stephenson: I will be quick. I think everyone in the insurance industry both on the claims side as well as the underwriting side, understand two things. One, they need to automate to get a lot of out -- to rid themselves of operational friction. The way they're doing that is to make an investment in technology and they're changing the way they go about processing. What that also helps to address, to say, graying of the talent population inside the insurance industry, where there are most experienced claims handlers, need to be on the more difficult claims or the very difficult underwriting risk. That's where the experience needs to be. So, they're trying to create expert systems to handle about 80%, this is a little bit -- our estimate 80% of claims in a no touch low-touch way. So that everything else flows on the underwriting side, 80% of those claims even on commercial, like personal, to be handled at point-of-sale with all the information so you can properly understand, assess, and price the risk. And that transition whether its back office, policy men, claim systems, or in the world of data analytics, everyone is pushing in that direction with one overarching theme, digital engagement. They're trying to make sure they don't lose customers and they can stay close. So, hopefully I was efficient and quick. But InsurTech, and all that that we're doing really is kind of making people expand and change the way they're doing business.
Operator: Your next question comes from the line of Andrew Steinerman. Your line is open.
Unidentified Analyst: Hi, good morning. This is [Jude] on for Andrew. I just wanted to circle back on Argus. You guys gave some helpful color on some of the holdbacks to growth last year, and what's been going on this year. I wanted to ask about, outside of TSYS, you had mentioned eight large multiyear contracts at Investor Day, you had mentioned bookings that were as $30 million higher, at Jan 1, 2018 versus the year prior. So, I was wondering how the rest of those contracts were going if you are seeing any sort of implementation delays with those or is that something that we could see coming on the horizon? Thank you.
A – Lee Shavel: Jude, thanks for the question. The last time we [indiscernible] our sense is that slightly over half of that contract had been worked into our revenue, with the balance expected over the remainder of the year. So I'll give an update on that, but that was kind of where we were previously. I suspect we've made some progress and so more of that has come in. But probably the majority has been realized, kind of year-to-date, and there will probably be some carryover in the second half, but probably not a material impact on revenue growth.
Unidentified Analyst: One quick follow up on Argus. Scott, had mentioned the heavy filing burden that is weighing on some of your bank customers. Maybe I missed this point, but is any of this specifically related to GDPR, and similar types of regulations? One of your peers mentioned those regulations, those events as weighing, as being a headwind to some of their growth, that's similar to your marketing effectiveness. So, I was wondering if that's at play here?
A – Lee Shavel: No. This is specific to banking regulation in the United States, particularly. So, no. It's not.
Operator: Your next question comes from the line of Bill Warmington. Your line is open.
Q – Bill Warmington: First question on WoodMac, the last quarter you guys had talked about a couple of gem cancellations. How the renewals been trending in general this quarter? And specifically how the trends been on a like-for-like pricing basis?
A – Scott Stephenson: Bill, I got to correct your facts there. So, last quarter we didn't talk about gem cancellation. We talked about two things going on in the business, when customers consolidate, that can have an effect on the combined entity revenues for us. And we did note that there was one of those. And then the other, and Lee talked about in his remarks, was, one investment bank is just sort of rethought their position with respect to the energy vertical, and it's not that gem has gone away, it's just that they scale back their relationship with us. So, I just want to make sure I fact base is established.
A – Scott Stephenson: Carl, do you want to move to the -- I think we may have lost Bill. Can we move to the next question?
Operator: All right, I'll move to the line of Jeff Meuler. Your line is open.
Q – Jeff Meuler: I guess I had a different take on insurance on that prior question. But it seems to me that the underlying insurance growth next to hurricane benefits is faster than it was a couple of years ago. How much of this is moving beyond the headwinds from the end market consolidation versus what other factors are at play? Like, is there generally an improved selling environment in the vertical? It sounds broad based in terms of product, but are there any specific big product needle movers or any cohorts from that perspective? Thank you.
A – Lee Shavel: So, thanks Jeff. Maybe I can start, Mark, please jump in. But -- first of all, I really appreciate the way you asked the question. Because there is no doubt that extreme events is -- the fact that there are extreme events is a productive factor as it relates to the rate of growth of our business, but it is a very long term sort of an effect, underlying our results over very long periods of time. You can probably add a few 10s of basis points that are there, because there are extreme events. Sometimes they peak, sometimes it's much more modest, though but if you look over long cycles. There is something there but it doesn't really explain what's going on in our business. So, thank you for the way you characterized the question, first of all. The only thing I would really call out as a point specific thing, actually is the movement in to remote inventory. That's news. And that's been productive for us. Otherwise I do think of it as broadly based and really it is, it's fundamentally about how innovative can we be. Our customers are trying to revolutionize their businesses with data analytics. And so it's really on us to be relevant and fast. And that's what determines the rate at which we grow our insurance capabilities, footprint, customer list, are all stronger than they were a couple of years ago. So, to your point fundamentally, and I think it's very broadly based. Remote imagery would be the one call out, Mark, I don't know if you want to add anything to that.
A – Mark Anquillare: I think you highlighted the good products. I think we highlighted a few in here, but internationally I think it's just some kind of headline, some of the growth and I think the way you opened was strong. I mean I think we've always had great positions but with some industry consolidations that does run a bit to our negative and just kind of move beyond that point-of-sale. Good product development, good growth internationally, limited headwinds, helping us along the way.
Q – Jeff Meuler: And then Lee, just to follow up on your answer to Judah's question. That wasn't clear. Were you saying the percentage of revenue that's worked its way -- the percentage of bookings that have worked its way in the revenue from the thesis contractor or we’re you saying the other large multiyear contracts and basically signals are all coming in according to plan and this is all just the thesis delay and media effectiveness into banks? Thanks.
Scott Stephenson: With regard to the broader group of contracts that I think was referred to at Investor Day at the time. And so my last sense is that and that kind of separate from the thesis relationship and those opportunities and so far what we have worked into or have realized of that pool. And I don't have a current update because we don't track those as a group individually but our sense was that those were coming in according to plan.
Operator: Your next question comes from the line of Toni Kaplan. Your line is open.
Toni Kaplan: You’ve highlighted across the years just the importance of cross-selling as a key growth driver. And in the past I think in insurance you’ve sometimes mentioned the average number of products that your customers have bought. And how that's been trending, but basically I was wondering if there are some metrics may be that you could give us that would be helpful for us to understand just your progress with regard to cross-selling. Any sort of color will be helpful?
Mark Anquillare: So Toni I appreciate you remembering the slide which I’ve used it every year. We actually started to prepare for this day and this Investor Day I think we’ve had similar positive results. I think what we've done as you recall we kind of grouped the number of products we have into about 25 to 30 categories. And our sales team have this - kind of this checkerboard approach where we’re looking to do project - account planning across all the different products. And we have a little bit of - we call the competitive chalkboard we’re trying to win business every day and we have realigned our sales force in such a way that we have a team that’s focused outside of North America that’s progressing. We have teams that are organized like our customer’s personal lines and commercial lines and being able to sell a suite of solutions to the personal lines or commercial lines has been winning. And I think it gives them a broader perspective on what customer needs, a broader understanding of products themselves and those are the type of things that we focus on. We focus on customer retention, we focus on revenue from our new products or billings from our new products and a combination of pipeline and closed sales. And we look at it basically monthly with a deep dive every quarter. So that process those metrics continue to be positive.
Toni Kaplan: And Lee I wanted to ask my follow-up on capital allocation again. And so you have 2.5 times gross leverage target, I'd say that's currently in line with the average of peers. Your business is very highly recurring, so one could argue that you could sustain a higher level but on the other hand may be in certain environments, you don’t want to be higher or lower. So what are your thoughts around two times and is that a dynamic target is that the right target just wanted to hear your thoughts on it? Thanks.
Lee Shavel: And Toni very briefly, I think we are managing leverage generally within the 2.5 to three times range. I think that’s what we believe is consistent with our run rate expectations for our ratings category. So I would think about it as kind of being within that, it may be towards the lower end or towards the higher end but that kind of is our target range?
Operator: Your next question comes from the line of George Tong. Your line is open.
Allison Chou: This is Allison Chou on for George thanks for taking my question. Can you comment on the progression of integrating the various acquisitions you've made and more specifically how we can expect the process of integrating those deals to narrow the gap between organic and reported margins?
Mark Anquillare: Well you’re actually asking two questions there so Lee may be would take on the second one in a momentum which is just the interplay between inorganic than becoming organic. I'm really happy with the integration of the companies that we brought in 2017 which fall into three primary categories. One as we stitched together a set of regional imaging companies into one national capability, very happy with the progress that we've made there. Secondly, we acquired Sequel over in the London market that has been a textbook integration, and we already presenting the customers the integrated product opportunities that come from that. And then lastly as PowerAdvocate, as we've noted for folks PowerAdvocate has already made sales based upon relatedness to other things we do on the energy side. And I would actually say that one flows in both directions because PowerAdvocate is I'll use a funny word very invasive where our customers are concerned and it gets right into their systems and draws data out of our customer systems. And is so good at managing large amounts of data that it actually facilitate other opportunities to help energy companies digitally transform. So it's just all green lights with respect to integration. Lee, just inorganic to organic crossover I don’t if you want to comment on that.
Lee Shavel: So I’m going to touch on that. There is really three components we wanted to provide the organic so that the analysts and investors could see that a like-for-like comparison without the influence of an acquisition before you have hit in both periods. But I think as you think about that delta, I think there are three components. One is going to be, we do have upfront costs associated with the deal that are nonrecurring. And so that will impact on those near-term reported margins with the expectation relative to dealers those pass on that will improve the margin. Secondly, as we integrate the margin of the business into our overall, that may have a positive or negative impact on the blended margins generally at the scale of the acquisitions that’s not going to have a material impact. But the most important component is what - with each of our acquisitions we hope to do by improving the operating leverage of the business, extending the distribution and improving the productivity. And so that's something that we expect - well the historical margins are going to trend towards that reported margin. What’s not captured is over time our expectation with each of these acquisitions that we will see margin improvement through their natural operating leverage as they grow plus the additional benefits that we can bring either on the cost or on the revenue side. So that's the way I think about the trend of that about organic relative to the reported margin in a given period.
Scott Stephenson: Thank you very much. In the interest of time so I think there were two questions there we’re going to move to the next question.
Operator: Your next question comes from the line of Joseph Foresi. Your line is open.
Mike Reid: This is Mike Reid on for Joe. Was just thinking about the energy business and kind of mid single-digit growth we’re seeing now. Just a good way to look at it going forward or could this potentially improve if CapEx turning improves with better oil prices and without the headwind from the large investment banking client when that rolls off?
Mark Anquillare: Yes, I mean two things one is as I said earlier we've got three verticals and it's hard to handicap which will be the fastest growing in the coming five years. I think energy has a lot of promise, we talked about the fundamental factors that work there. And those of you who have followed us for a while know that a lot of what we do in energy is based on multiyear agreements. And so we've been cycling through those agreements as we pulled out of the commodity down cycle. And essentially we just think that with time, these effects - the constructive effects will continue to be seen in what we do. So we have a very positive outlook.
Mike Reid: And then I think you noticed previously this year price increases may be minimized, but would you still be looking to take advantage of pricing opportunities next year?
Mark Anquillare: Are you on the energy vertical.
Mike Reid: No, no I was talking insurance.
Mark Anquillare: Price is always a factor inside of what we do. Our products don't come back year-over-year the same and the customers know that. So there is naturally price progression in almost everything we do. Mark I think most of the multiyear agreements we write in insurance has year-over-year price escalation associated with them. So that's a persistent effect in our business. I don't see it as becoming more or less meaningful than it has been in the past.
Operator: Your next question comes from the line off Andrew Jeffrey. Your line is open.
Andrew Jeffrey: Quickly I wondered if you could articulate a little bit your Internet-of-Things strategy how you see that playing out, how it functionally affects your solutions and so forth?
Scott Stephenson: Sure. So I think you probably seen the announcements we are trying to aggregate a lot of information not just from telematics and from cars, but even things around buildings and homes. Two primary focus, let me start with the side of claims we feel that we can very much effectively and more efficiently handle the first notice of loss process as it kind of starts inside the car. We've put up relationships between what we have in the OEMs and the car manufacturers in combination insurers so that we can speed and claim process both the notification and the payment thereof. So that is a good news item helps policyholders, it helps claims department and saves money. And on the underwriting side, it’s about pricing. The information is available from connected cars from mobile devices can tell you about how fast and how good and the behavior of the driver and that information is effective in pricing your insurance policy. So we are taking steps to bring that information into both kind of personal and commercial lines pricing. So that our insurance customers can be better and more active in assessing that risk and pricing it.
Scott Stephenson: And I think we have one final question here Carl.
Operator: The final question will be coming from the line of David Ridley-Lane. Your line is open.
David Ridley-Lane: Within the energy segment, I'm hoping to understand how far the cyclical rebound and core research of WoodMac revenue has proceeded. And where are we relative to prior peak revenue or client counts in that core WoodMac area? Thank you.
Scott Stephenson: So client retention is very high. So and in fact we have more customers than we used to have. And as I noted before, the sort of the progression related to research it’s really a function of multiyear agreements rolling off, new multiyear agreements being signed. That has been - since you could really call the turn of the commodity which is within the last year, we've seen that effective work. It will continue to be at work as we go forward. Basically the condition of the commodity is no longer an issue. We consider this a normalized environment that we’re in now. So it’s constructive and productive for the work we’re selling today and the work we hope to able to sell in the future.
Scott Stephenson: All right everybody, thank you. We appreciate your interest and I'm sure we’ll be talking to a lot of you in immediate follow-ups and no later than next quarters. So thanks very much. Have a great day.
Operator: This concludes today's conference. You may now disconnect.